Operator: Greetings, and welcome to the Third Point Reinsurance Third Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Chris Coleman, Chief Financial Officer. Please go ahead.
Chris Coleman: Thank you, operator. Welcome to the Third Point Reinsurance Limited Earnings Call for the Third Quarter of 2018. Last night, we issued an earnings press release and financial supplement, which is available on our website, www.thirdpointre.bm. Leading today's call will be Rob Bredahl, President and CEO. But before we begin, I would like to remind you that many of the remarks today will contain forward-looking statements based on current expectations. Actual results may differ materially from those projected as a result of certain risks and uncertainties. Please refer to the third quarter 2018 earnings press release and the Company's other public filings, including the Risk Factors in the Company's 10-K, where you will find factors that could cause actual results to differ materially from these forward-looking statements. Forward-looking statements speak only as of the date they are made and the Company assumes no obligation to update or revise them in light of new information, future events or otherwise. In addition, management will refer to certain non-GAAP measures, which management believes allow for a more complete understanding of the Company's financial results. A reconciliation of these measures to the most comparable GAAP measure is presented in the Company's earnings press release. At this time, I will turn the call over to Rob Bredahl. Rob?
Rob Bredahl: Thank you, Chris. Before we discuss operating results, I wanted to briefly comment on the impact of the investment account restructuring that we completed during the quarter. As we mentioned during last quarter’s earnings call, we entered into several agreements to restructure our investment account from a separately managed account to an investment in a Fund structure. The transition was completed during September, and we are now reporting our balance sheet under this new structure. As we stated last quarter, we plan to manage the company into a similar level of investment exposure with investment guidelines, liquidity provisions and redemption rates remaining broadly similar under the new Fund structure. As a result of this change, we exceed the 25% reserves to total asset threshold at the Bermuda operating company level where the PFIC test is applied and expect to continue to exceed this threshold at year-end. Now, we will move on to discuss financial results, our underwriting plans and market conditions. During the quarter, we generated net loss of $13 million, driven by a small underwriting loss combined with a small investment loss. Chris will discuss our financial results in more detail shortly. Reinsurance market conditions are challenging. Although we were seeing some modest improvement in pricing at the end of 2017 and early in 2018 on the back of significant loss events late in 2017, the momentum of those improvements has seem to taper off. As a reinsurer, we are affected by two layers of pricing change. We continue to see some improvement in underlying primary pricing across most lines and we’ve seen some improvement in reinsurance terms namely ceding commissions and quota share contracts. But whether this is enough to keep pace with loss cost trends is difficult to say, therefore we view net pricing to us on recent deals as being about flat. As we’ve talked about for the last couple of quarters, we continue to position the company to gradually shift our underwriting appetite and I’ll stress gradually. While this is not an expression of our – of great optimism for an improving pricing environment, we think that for several reasons, it makes sense to gradually shift our underwriting appetite to include some higher margin business which should bring down our combined ratio to below 100. From the inception of the company and the primary focus of the underwriting strategy was to generate low-cost flowed and to minimize underwriting volatility. We’ve now built an underwriting portfolio of stable flow which allows us to manage the company to an optimal investment exposure level with very good capital efficiency. Investment returns will remain the key driver of our financial results, but we believe it now makes sense to add a modest amount of higher margin, albeit it higher risk business, including property CAT to our reinsurance portfolio. We are completing our seventh year of operation, have more than doubled in size since our inception and diversified our portfolio into higher margin areas on a very capital-efficient basis. We can earn margin with little use of risk capital because we were starting from a very low risk portfolio and we’ll focus on areas with little correlation to existing business. Please note that however, that we still expect our total risk limits, PMLs and underwriting volatility to remain much lower than most of our reinsurance company peers. During 2018, we’ve added two very experienced senior underwriters with strong market relationships, as well as support staff to help us with this effort. Now, in addition to working hard to improve our underwriting results, we are carefully managing our capital. During the quarter, we repurchased approximately 5.5 million of our common shares in the open market for $73 million or $13.36 per share. We continue to believe that buying back shares below book is an appropriate use of our capital. I will now hand the call over to Daniel Loeb, who will discuss our investment results. Daniel?
Daniel Loeb: Thanks, Rob and good morning. The Third Point Reinsurance Investment portfolio managed by Third Point LLC was down 0.2% for the third quarter of 2018 net of fees and expenses, bringing year-to-date returns to a positive 0.6%. In comparison, the S&P 500 was up 7.7% and 10.6% for the same periods respectively. The Third Point Reinsurance account represents approximately 15% of assets managed by Third Point LLC. In Q3, gains in our equity and credit portfolios were overshadowed by our losses in our other strategy, largely driven by a losing merger arbitrage bet on NXP Semiconductors. The equities portfolio returned 1.5% on average exposure in the third quarter, a strength from investments in the industrials and financial sectors was partially offset by losses in TMT and consumer. Through September, the strategy returned 4% for the year. Our credit team generated robust results on our limited exposure to the asset class in Q3. Investments in corporate and sovereign credit returned 4.1% on weighted average exposure during the third quarter. Finally, the APS portfolio added to its impressive run for the year in Q3. Investments in structured credit had an ROA of 1.2% for the quarter, bringing the return on assets to 11.6% for the year, outpacing the HFN Hedge Fund Mortgage Index year-to-date return of 3.3%. The past month has been a challenging time at equity markets and for our portfolio. The market sell-off was primarily triggered by a fear that the Fed would raise rates faster than expected at a time when growth outside the U.S. was faltering. While equities and interest rates tend to move together over long periods of time, in the short-term, sharp rate moves can cause equities to struggle. This fear was exacerbated by investors’ concerns over the strength of corporate earnings and a potentially escalating trade war. The combination proved toxic for the market and especially for cyclical. We do not believe we are at risk of a recession in the near-term, but we expect volatility to remain elevated through year-end. As we saw in February, and again in October, it’s becoming increasingly essential to understand the changes that have taken place in market structure when investing in single stocks and considering portfolio construction. We’ve been studying the evolution in incorporating changes to both individual security analysis and portfolio risk management to better inform our views. As event-driven strategies become increasingly out of favor, we think the integration of these new tools into our investment process will help us to better identify pivotal points of inflection from a shift from equities to credit or among other factors or in sector rotation. With fewer players looking to capitalize on these shifts through fundamental investing we believe that our traditional approach, combined with these new data-driven tactical tools should position us well to take advantage of late cycle opportunities. In the near-term, our short book continues to perform well and we expect impending catalysts to move prices in several of our large constructive investments in the coming quarters. Finally, it’s some company-specific news, Third Point Reinsurance has continued to implement its share repurchase program throughout the year. As a result, I had to sell some of my shares in TP RE during the third quarter to reduce my ownership to just below 10% of the company’s shares. The recent sale was not due to a change in my conviction in the company or its prospects and I remain one of TP RE’s largest shareholders. Now, I’d like to turn the call over to Chris to continue our financial results.
Chris Coleman : Thanks, Daniel. Our diluted book value per share at the end of the third quarter was $15.60, which was a decrease of $0.03 from June 30, 2018. Although we incurred a net loss during the quarter of $13 million or $0.14 per diluted share, our share repurchases at a discount to book value helped to offset the impact to our diluted book value per share. The net investment loss for the quarter was $4 million, which reflects the returns for the quarter, which Daniel discussed in detail. Our gross premiums written for the third quarter was $30 million, which was a decrease of $144 million from the prior year's third quarter. Gross written premium decreased by $19 million or 4% to $458 million from $477 million for the prior year’s nine months. The lower gross premiums in the third quarter primarily related to one contract that we did not renew and contracts written or renewed in the prior year period with no comparable premium in the current year period. We generated a $6 million net underwriting loss for the third quarter and our combined ratio was 104.9%, compared to 111.9% in the prior year third quarter. The prior year quarter included $5 million or five points on the combined ratio due to catastrophe losses recorded in that period. We recorded insignificant catastrophe losses in the current year period. Furthermore, we currently estimate less than $4 million of losses related to Hurricane Michael and other Q4 CAT events to-date. Although we have not written property CAT XOL contracts to-date, we have a small amount of residual CAT exposure through home account and property quota share contracts. For the quarter ended September 30, 2018, we recorded a net $2 million improvement in underwriting results related to changes in estimates of prior year’s loss reserves, net of the related impact of acquisition costs. As Rob mentioned earlier, we expect our combined ratio to gradually improve primarily due to a shift in business mix beginning in 2019. Total general and administrative expenses for the third quarter of 2018 were $10 million, compared to $13 million for the prior year period. For the nine months period, general and administrative expenses were $29 million, compared to $39 million in the prior year period. The decreases were primarily due to lower payroll-related costs, partially offset by higher stock compensation expense and professional fees. The lower payroll-related costs were due to lower annual incentive plan compensation expense accruals which is based on a formula derived from certain financial performance metrics. The increase in professional fees was primarily due to legal and accounting fees incurred in conjunction with the investment restructuring. Other income expense is comprised of interest crediting features in certain reinsurance contracts and captures the economics of our deposit accounted reinsurance contracts. The net other income for the current year period was due to the commutation of certain deposit accounted reinsurance contracts resulting in recognition of margin on these contracts and revised estimates of underlying assumptions and other deposit liability contracts. We thank you for your time and we'll now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Michael Phillips with Morgan Stanley. Please proceed with your question.
Michael Phillips: Thank you, and good morning everybody. I think most of my questions are probably for Loeb. I guess, first to kind of picking on your talk about the property CAT, can you talk about a little details of kind of limits and layers that you are talking about going through that?
Daniel Loeb : Sure. We are kind of writing a small CAT book. We are projecting around $40 million and unlike most other companies, we are not trying to derive a lot of diversification within the CAT book with a focus on the peak zones, the better priced peak zones. Just given that we don’t have any other CAT and given what we do on the investment side, we have a good amount of diversification – risk diversification. In terms of risk limited to our PMLs or other measurements of CAT risk, we think the average reinsurance company has a 250 year PML, of about 30% of the surplus. We are going to be below half of that amount.
Michael Phillips: Okay, good. Thank you. I guess, if you couple your comments about and commendable comments, gradual and modest amounts of things like this as an example in order to get the goal of the combined ratio down to sub-119. You are doing it gradually.
Daniel Loeb : Right.
Michael Phillips: But if you take that with, the other thought so, pricing is kind of – and that pricing is about flat. So how - it seems like an aggressive target to get below a 100 that quickly doing these gradual shifts. So, just more thoughts on how you get there from a 104?
Daniel Loeb : We have $600 million of earned premium. We will be at 104 this year and so it’s $24 million of additional profit. And so if you are writing a – for example, if you are writing $40 million CAT book, the expected outcome on that is below 50% combined ratio, just as an example. So, I don’t think it’s all that difficult to bring it down below 100. We are hoping to bring it down below 100 in 2019. It might take a little bit longer. But, for sure, we are not going to stick our necks out and take a big bite of risk without carefully considering it and we don’t need to, we don’t need to.
Michael Phillips: Okay. That makes sense. Could we maybe get – and this maybe a little long specific comments either on – I guess both if we could and your appetite for or maybe completely shying away from the workers comp reinsurance market, I mean, that also same kind of question on professional liability in professional lines?
Daniel Loeb : So, we have, I think, two remaining, I am looking around the room. We don’t have a lot of workers comp exposure today. We do have some older reserves, which are – and it’s heavily concentrated in California. And that business – those reserves are performing very well. And so on our new books, it’s limited exposure and we are watching it carefully. The loss trends have been good. It looks like they are heading the other way with the tight employment market and we are going to be very careful to add renewal on these deals.
Michael Phillips: Was the…
Daniel Loeb : And then, you mentioned professional liability.
Michael Phillips: Yes.
Daniel Loeb : So, professional liability, we have limited exposure to professional liability. We have it through a couple of broader quota share contracts. And so, yes, again, pricing is not trending in great way, but we are underexposed there.
Michael Phillips: Okay, well. Thanks. It’s very, very small amount, but just the fact that you mentioned is it on the prior development, was that from comp or what was that from?
Daniel Loeb : No, it was really – it wasn’t anything in particular. It was just - I think as we’ve talked about many times in the past, our reserving process looks at every deal, every quarter. And so, it’s just in the normal course of reserving. You have a few ups and a few downs and the net effect of that was a couple million of favorable development in the period.
Chris Coleman: Yes, there is probably 12 contracts where there is movement, but small amounts, up and down and nothing meaningful.
Daniel Loeb : No major trend.
Michael Phillips: Okay, great. I guess, last one, if you give me little more details on, you’ve also talked about in the prior quarters of your folks trying to get into some targeting specialty lines of business and maybe how that’s gone? And some details on what specific lines you are talking about that?
Daniel Loeb : Yes, as we increase the risk taking and focus on higher margin business we are doing in phases. So, phase one is, writing the CAT book which we talked about. We are also writing some excess business, up until this year, almost a 100% of our business has been pro rata, whether it be quota share or reserve covers. So we are moving to a low layer excess covers. And also instead of a quota share contract, we might write an aggregate stop loss, which means it’s less premium, but a much lower expected loss ratio. And so that’s really the major changes or additions for this year. There is couple lines of business that we like that we have written, namely, the mortgage business. We are maintaining the same exposure we’ve had historically. And that business takes a long time to earn in, and we are probably hitting the peak earn in of the mortgage business we’ve written and that comes in Chris, as sort of low heat is across the portfolio. And then, we like reps and warranties and that’s a rapidly growing business. So we plan to increase our portfolio on reps and warranties indemnity coverages.
Michael Phillips: Okay, great. Thank you very much for your thoughts. I appreciate it.
Operator: Our next question is from Jay Cohen with Bank of America. Please proceed with your question.
Jay Cohen : Hi guys. Thanks. I just wanted to – I guess, ask about the premium volume is which – last couple of quarters have been quite low relative to the past five years. And do we see – and I know, you’ll add some CAT, but not that much. Should we think of these as reasonable starting points for our models going forward? Or would you expect new large deals to come in? I know you can’t forecast them, but are these are good baseline for our forecasts?
Daniel Loeb : Yes, Jay, and we had a very large increase in the first quarter. And so, our runrate premium, per annum premium is right around $600 million. And it has been for the last couple of years and we expect it to be next year. It’s hard to see that in our numbers, because a number of deals have been shifted. The renewal dates have been shifted and we also have multiple year deals where we recognized the two years of premium, one year and maybe none in the next year. And so, I think it’s easier to look at our earned premium and our earned premium has been relatively consistent for some time now.
Jay Cohen : Yes, now that makes sense. And I guess, we should expect some change in the seasonality of premiums, if you could start writing CAT or access to loss covers?
Daniel Loeb : We haven’t decided yet how we are going to earn the CAT premium. And the two options are to straight-line hurricane premium recognition and the other way to do it through the season. And so we haven’t made that determination yet. We will let you know when we do.
Jay Cohen : Okay, great. Thanks.
Operator: [Operator Instructions] Our next question is from Meyer Shields with KBW. Please proceed with your question.
Meyer Shields: Great, thank you. Good morning. Really quickly, Chris or Rob, is there any way of quantifying the professional fees associated with the investment accounts restructure?
Rob Bredahl: Sure, yes, there was about roughly $1 million of cost incurred in the quarter just related to the legal and accounting work to get that all reconfigured. So that was obviously a one-time hit this quarter. So, relatively small, but a tiny amount in this quarter for that.
Meyer Shields: Okay. And I am trying to piece together a couple things, but you are running at, call it, $600 million of annual premium and there is a $90 million contract being dropped. Do that itself have any impacts on sort of the anticipated underwriting possibility in the books setting aside the expansion to CAT?
Chris Coleman: No, I mean, it’s hard to take one individual contract, non-renewal and try and extrapolate that across. I mean, just because offsetting that, we also had a $90 million new contract in the first quarter. So, you sort of add and subtract the normal kind of new business and non-renewal business, we still continue to think as Rob pointed out that a reasonable runrate of premium is about $600 million per year.
Rob Bredahl: We don’t see any major changes in the earned premium level.
Meyer Shields: Okay. Now that’s helpful. Final question I guess, can you talk about – we’ve heard a lot of discussion of some kinds of loss cost trends inflecting in recent quarters and I was hoping for an update in terms of how you are reflecting that in your own loss things?
Rob Bredahl: Sure. Meyer, as you know, there is two layers of pricing for a reinsurance company. We are a pure play reinsurance company. There is the underlying pricing that’s controlled by the primary company and loss cost trends are moving adversely in the number of lines, but the primary companies are also pushing rate increases very hard. And I was interested to hear in other earnings calls, primary earnings calls – primary company earnings calls this week, a lot of optimism. And so they seem to think they are keeping pace or getting ahead of those loss cost trends. We are not sure and where this uncertainty or where we think they are falling behind. We reflect that in our reinsurance terms. We lower our ceding commission for example on quota share contracts. And so, tough to generalize. The trends are different line-by-line. But we are very focused on and it starts with what the primary companies are doing.
Meyer Shields: Okay. Thank you very much.
Operator: We have reached the end of our question and answer session. I would like to turn the call back over to management for closing remarks.
Rob Bredahl: Thanks, everybody for joining us. We look forward to talking to you during our next quarterly call. If you have any questions in the mean time, please get in touch with us.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.